Operator: Good day ladies and gentlemen and welcome to the Asure Software Corporate Conference Call. My name is Shannon and I will be your coordinator for today. At this time all participants are in a listen-only mode. We will facilitate a question-and-answer session towards the end of today’s presentation. As a reminder today’s call is being recorded. I would now like to turn the call over to Cheryl Trbula of Asure Software. Please proceed.
Cheryl Trbula: Thanks you Shannon and welcome everyone to Asure Software’s conference call. Before we start, I’d like to mention that some of the statements made by management during this call might include projections, estimates and other forward-looking information. This will include any discussion of the company’s business outlook. These particular forward-looking statements and all of the statements that maybe made on this call that are not historical are subject to a number of risks and uncertainties that could affect their outcomes. You are urged to consider the risk factors relating to the company’s business contained in our latest periodic reports on file with the Securities and Exchange Commission. These risk factors are important and they could cause actual results to differ materially. This call is also being recorded on behalf of Asure Software and is copyrighted material. It cannot be re-recorded or re-broadcast without the company’s expressed permission and your participation implies consent to the calls recording. After we’ve completed our review of the quarter, we will open up the call for questions from the financial analysts community. I would now like to turn the call over to Pat Goepel, CEO of Asure Software. Pat.
Pat Goepel: Thanks Cheryl and I would like to welcome all investors, clients, employees, interested third patients to the Asure Software second quarter conference call. We in short were very, very pleased with the second quarter. Highlights of our activities in the second quarter, first of all, we had total new orders of cloud booking that were up 10% year-over-year and we are definitely making traction in bookings. Evidence of that, in net simplicity we had new orders from AT&T Labs, University of Chicago, the U.S. Department of Treasury and the University of Tennessee. In the AsureForce, which is our time and labor management, we are very pleased with large sales of Visionees (ph) and Parker Hannifin. We also were thrilled with the new partnership that we announced in a press release of MPAY. MPAY is perhaps the fourth largest payroll provider in the United States and they are embedding time and labor management in their small end solution or small business solutions and they are also partnering with us in the mid market and Jeff Duke over MPAY who is the President is somebody that I’ve been discussing this partnership for quite some time and we are just thrilled with the partnership of MPAY and we think that’s going to lead to results for years to come. From a revenue side, we came in at $4.2 million and our guidance was $4.1 million to $4.2 million, so we are very pleased with the revenue. EBITDA ex-one time items of $838 million and EPS ex-one time items of $0.03 and the EBITDA naturally is $838,000, not million. But we are also in the middle of delivering those results. We closed on an acquisition of PeopleCube in the first week of July. So a lot of our activity was moving forward with the PeopleCube. I will say and I will talk a little bit more about this later, but the integration efforts are going extraordinary well. We are very pleased with the culture of the employees, the clients, the synergies are immense and we think that that’s going of to a very, very quite start. We also in the quarter, I would like to remind you, we have a three for two stocks split on May 1 and we did that because we did hear for you that you’d like to buy more stock and you wanted more stock available and some of you were saying that the float ultimately should be around 10 million shares. Now we are about 5 million or so, a little bit more than that and the stock continues to progress. We will be open to stock split in the future. Also we made great progress organizationally. We had to prepare for the acquisition of PeopleCube and we did that. We did close India and in the process of closing that we took a charge and we thought that was the right think to do. We are centering around Austin, Texas and the greater Boston areas, including Warwick, Rhode Island. We also made great progress this quarter in our products. From a AsureForce perspective we rolled out our new version, our SAP version, version 11. We had clients that signed up and we also rolled that out to our partner programs, so we are excited about that progress and we think the results will enable us to hit third and fourth quarter where we have a big revenue ramp and we feel really good about the challenge of that revenue ramp. And then finally in AsureSpace, we rolled out a panel strategy. Our clients who told us that they love their software, they are also want to embed our software into the panels outside the meeting rooms and we signed up some clients already on that and we are excited about the panel strategy that we rolled out. So a lot of activity second quarter. The results we are very pleased with. We think it sets us up well for third and fourth quarters, as well as 2013 and I’m now going to turn it over to David Scoglio to speak to the financial details. Dave.
David Scoglio: Thanks Pat. I’m going to take a few minutes here to go over the second quarter financial highlights and Pat and I will be happy to answer any and all questions during the Q&A period at the end of this morning’s call. In the second quarter, revenue was at $4.205 million, up 73% year-over-year, primarily driven by the acquisitions of the Legiant and ADI in the fourth quarter. From a sequential perspective, net simplicity ADI and Legiant revenues were up 82% and 5% respectively. iEmployee was down 8%, but that was driven by some one-time usage, overage charges in the first quarter; so strong results from three out of four divisions. Recurring revenue as a percentage of overall revenue held strong at 76%. New annual cloud booking were up 10% year-over-year. This metric represents full quarter comparative data and only includes new annual contract revenue excluding multi year sales. EBITDA as Pat mentioned was 838 excluding one time items, which represented an approximately 8% increase sequentially in this metric. Net income excluding one-time items for the second quarter was $0.03 a share. GAAP net income amounted to $0.06 loss per share for the second quarter, driven by $0.10 in one-time items. Gross margin was up one point sequentially at 76%. Free cash flow was at $223,000, driven down primarily by cost related to the acquisition of PeopleCube and slightly higher capital expenditures due to initial upgrades in our cloud infrastructure. Guidance for the rest of the year was outlined in today’s press release and for 2013. 2013 we confirmed our previous projections at $31 million in revenue and free cash flow of $7 million and $9 million in EBITDA, excluding one-time items. In the upcoming third quarter revenues guided at $6.9 million to $7.1 million and EBITDA excluding one times is projected to be between $1.1 million and $1.3 million. At this time I’d like to discern the discussion back to Pat Goepel our CEO for closing comments and then we’ll open it up for questions. Thank you.
Pat Goepel: Thanks Dave and yes, just in the second (ph) quarter, a few thoughts going forward. First of all the PeopleCube acquisition, really we are integrating very, very well. I’m very pleased with the acquisition, very pleased with the leadership. John Anderson who is going to run our AsureSpace division. John was the former CEO and President of PeopleCube. He is now the EVP and he has built a tremendous culture, has great clients. Clients were enthusiastic of the acquisition. I think the employees have worked very well together. Mike Kinney who we are very pleased with as a sales leader is going to be head of new sales for the AsureSpace division and we think culturally he is a great fit with John. They are going to drive revenue on the cost side and the integration side. We’ve gotten costs out probably faster than we thought we would, which is always good and we are excited about talking to clients about our combined offerings. As far as AsureForce, we are heading into our busy season. We are through with the MPAY partnership. We are active among partnerships as well as some acquisitions and we feel that we are hitting our stride here with the new product. We also feel that we are into selling season and third and fourth quarter clients look to sign up, because a lot of times they like to make changes for the January 1 payroll season and time and labor management allows them to do that. So we do have a lot of work to do and we are in the trenches everyday. Lots of activity going forward and we are very pleased about our positioning. We’ve given you the guidance through 2013. So with that, I’ll take any questions that are out there and Cheryl, if we can turn it over for questions.
Operator: (Operator Instructions). Our first question is from Thomas Pfister with RedChip Company. You may begin.
Thomas Pfister - RedChip Company: Hey guys, congratulations on the good quarter and good to see you guys making good progress. I think you mentioned in a previous earnings call, you guys had possibly a few acquisition candidates that you are looking at. Could you give us may be some color on how your acquisition strategy is here going forward.
Pat Goepel: Yes. Well Thomas, thank you for the kind words and I will remind you that we did an acquisition the first week of July. This probably won’t be a weekly occurrence, but – and I’m teasing you. But what we have in the facility with Deerpath Capital. We have a $5 million facility for future acquisitions and what I call these are tuck-in acquisitions that will look for books of business to both the AsureSpace and AsureForce product line. We also believe that, as you know Thomas we think we are in great position in both markets and we have the ability to gain scale and profitability, as well as revenue growth as we are not going to have to hesitate to pull the trigger going forward and we will be opportunistic on the acquisitions. All our acquisitions will be accretive and we are looking for a bull’s-eye in this space that we are currently in. So we are now looking to expand our space that we are playing in right now. We feel that there is plenty of opportunity and plenty of growth and accretive acquisitions out there. We are going to be cognizant of the organization’s ability to absorb and we think we need a quarter here to absorb PeopleCube and get that on the right footing, but by the same token will look and be opportunistic in the future. And this, having gone through three acquisitions, I’m very pleased with the ability of the organization to assimilate the acquisitions and we think we are positioned pretty well going forward, but that’s what I’d comment on now.
Thomas Pfister – RedChip Companies: Great, thanks for the color Pat. And just another question from me here, I think you guys may have – I may have asked this in the past and you guys may have touched on it a little. But as far as seasonality goes with your bookings, is typically the second half of the year usual the stronger half so to speak.
Pat Goepel: In time and labor management Thomas seasonality there tends to be more bookings in the third and four quarter, as clients prepare for the first quarter of any payroll changes, so we do see some seasonality with that. In the AsureSpace, I mean we have seen fourth quarter, but we’ve also seen all our quarters be strong. In fact we’ve had record SAP bookings in the first quarter and we, good booking this quarter. So not as much seasonality on AsureSpace and AsureForce. We will see third and fourth quarter seasonality.
Thomas Pfister – RedChip Companies: All right great, thanks for the color there and then just one more question from me here. I think previously you said you were looking obviously to expand globally here a little bit and obviously the PeopleCube acquisition helps with that. Can you just give any more color maybe on how you guys are looking at expanding business outside of the U.S.
Pat Goepel: Yes Thomas, we have a Beachhead now where we have an office just outside of London and we have a hosting of clients in Europe right outside of London as well. So our European strategy will be to build on that Beachhead on London. We have a tremendous partnership in Asia that has gained some traction for us and we will continue to make progress to have a Beachhead in Asia and we are going to go where our clients take us and we will continue that global expansion and we think the acquisitions of PeopleCube will allow us to do that, but still a lot of work to do.
Thomas Pfister – RedChip Companies: All right, great, thanks Pat. That’s all the questions I had today. So congregations again on the good quarter, and thanks for taking my questions today.
Pat Goepel: Great. Thank you Thomas.
Operator: Thank you. (Operator Instructions). And our next question is from Don Sinsabaugh with Fulcrum Securities. You may being.
Don Sinsabaugh - Fulcrum Securities: Hi. Great quarter Pat. Could you give us some guidance on gross margins and SG&A expenses on a going forward basis.
Pat Goepel: Dave, I’ll let you answer that question.
David Scoglio : Hey Don, its David Scoglio. So as we continue to expand and meet our revenue targets, we are not looking at any significant SG&A changes. We are really focused around building products and building sales and professional services delivery. So from an SG&A perspective, whatever we get from a PeopleCube perspective, from a post synergy perspective, we’ll probably stick pretty close to that for some time. On a gross margin perspective, I can see that changing a little bit. PeopleCube will bring some hardware revenue that will have a different mix, but it doesn’t have a substantially different gross margin on a product-by-product basis. And then obviously when we integrate that company, it will have a support and implementation structure that will change those metrics we well. As we look to integrate those teams, we will continue to look for synergies, but overall Don, I don’t see a significant difference in gross margins. It will be just a mix difference.
Don Sinsabaugh - Fulcrum Securities: Very good. Could you give us some color of the balance sheet at the end of the quarter?
David Scoglio : Sure. So we had positive cash flow. As I had motioned, it was hindered by some of the one time cost. We had cash flow, any cash from $1.5 million. We has some significant progress with our debt, whereas when we took out our new debt with PeopleCube, we were able to pay off some of our higher percentage debt, some of our 9% and 15% debt that was complicating our balance sheet and out P&L in the past. Most of that is now gone. We’ve simplified and we’ve drastically reduced a number of debt holders that we have which helps as well. Differed revenue was slightly down quarter-over-quarter. We think we can pick that up to positive differed revenue growth here coming next quarter and we had good SAP bookings year-over-year, not enough to change that number drastically quarter-over-quarter. Really we’ve been managing our AR very tightly Don. We’ve been in the 30 to 36 range for the last handful of quarters. We’ll probably be close to the 30 as we move this business forward. We are the bigger infrastructure from PeopleCube. We are looking to make positive changes in working capital management. Obviously we have to be tighter from a governance perspective with our new vendor, so we are looking out for areas of improvement in the balance sheet as we go forward as well. Good will and intangibles will be very different next time you see them. We are in the process of managing the purchase price allocations and intangible valuation as it relates to PeopleCube and then lastly Don, from a shareholders equity perspective, we are at 3.2 million right now we issued some stock from our PeopleCube acquisition and we have some one time costs that are pretty heavy related to the acquisition as noted in our 8-K. Those were more than offset, so I don’t anticipate any issues with our, now its that minimal of 2.5 million.
Don Sinsabaugh - Fulcrum Securities: And there could be some one-time changes this quarter as well.
Pat Goepel: Don, as we look at third and fourth quarter, the third quarter will have some integration of PeopleCube one time charges. The fourth quarter we think will be relatively clean. And so we are really looking at the work being done in the second and the third quarter. We will have some one-time charges. We showed you the one-time charges in the second quarter. We think the fourth quarter will be a relatively clean quarter and we are excited about that to show the investors and I think the post-acquisition balance sheet and earnings with PeopleCube obviously we’ll go through a lot of detail in the third quarter call.
Don Sinsabaugh - Fulcrum Securities: Okay and PeopleCube’s revenue retention is in line with the company.
Pat Goepel: Yes. No, I think – great question and from a PeopleCube perspective, they were in the space of that simplicity. So the meeting room scheduling, they sold to a little bit of larger clients and as far as revenue, they were on pace to do approximately 10 million or so. There is some differed revenue adjustments that we’ll have to make. But as far as cloud-based bookings, they have panel strategy right with us. We are going through a lot of the same clients. So what we are able to get is synergy from a cost side where we can take out come costs, where we have duplications. But the nice thing about it is now we have products to go to the middle market, as well as the large scale customer and we are excited about that opportunity, because we think that there is some sales synergies and good news for those clients.
Don Sinsabaugh - Fulcrum Securities: Very good. Great quarter. Thank you.
Pat Goepel: Thank you.
Operator: Thank you. I’m showing no further questions at this time. I would now like to turn the conference back over to Pat Goepel for closing remarks.
Pat Goepel : Yes, just very, very excited about the second quarter. Very promising outlook going forward in the third and fourth quarter, as well as next year. Those of you that have been with us three years, it’s been quite a journey. I know I reflect back often at that first day of so, we were about $0.20 a share as we had a lot of turnaround work to get to this point and we sold off divisions of the businesses and got out of bad contracts and all that. Now really it’s refreshing, because its all about growth and its all about building for the future and we think we’ve done some great strides towards that in the last nine months with our acquisitions of ADI, Legiant and PeopleCube. And what we are building here really is cloud-based company that is going to be fast growing organically, as well as with acquisitions it’s going to profitability. We think we are in spaces that are nice niche spaces of big markets and we think we have the ability to grow and we think we are in the early innings of a long game and we are in it to win it. And those of you that have rewarded us with your shareholder-ship, we think of you every day and we are invested right along side of you. So I’d like to thank you for the call and look forward to the next time we get a chance to speak and if you want to talk to us at all, one-on-one, please give us a call and we’ll be happy to answer any questions. Thanks again.
Operator: Ladies and gentlemen, thanks for your participation in today’s conference. This concludes the presentation. Thank you and have great day.